Operator: Good morning, and welcome to the KKR Real Estate Finance Trust Fourth Quarter 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jack Switala. Please go ahead.
Jack Switala: Great. Thanks, operator. And welcome to the KKR Real Estate Finance Trust's earnings call for the fourth quarter of 2023. As the operator mentioned, this is Jack Switala. Today, I'm joined on the call by our CEO, Matt Salem; our President and COO, Patrick Mattson; and our CFO, Kendra Decious. I'd like to remind everyone that we will refer to certain non-GAAP financial measures on the call, which are reconciled to GAAP figures in our earnings release and in the supplementary presentation, both of which are available on the Investor Relations portion of our Web site. This call will also contain certain forward-looking statements which do not guarantee future events or performance. Please refer to our most recently filed 10-K for cautionary factors related to these statements. Before I turn the call over to Matt, I'll provide a brief recap of our results. For the fourth quarter of 2023, we reported a GAAP net loss of $18.7 million or negative $0.27 per diluted share. Distributable earnings this quarter were negative $26 million or negative $0.37 per share, including a write-off of $59 million or $0.85 per share. Distributable earnings prior to realized losses were $0.47 per share relative to our Q4 $0.43 per share dividend. Book value per share as of December 31, 2023 was $15.52, a decline of approximately 5% quarter-over-quarter. Our CECL allowance decreased to $3.06 per share from $3.21 per share last quarter. In mid-January, we paid a cash dividend of $0.43 per common share with respect to the fourth quarter. Additionally, the company's Board of Directors declared a dividend of $0.25 per share of common stock with respect to the first quarter of 2024. The divided is payable on April 15, 2024 to KREF's common stockholders of record as of March 28, 2024. With that, I'd now like to turn the call over to Matt.
Matt Salem: Thank you, Jack. Good morning, everyone, and thank you for joining us today. Before turning to the current market environment, company results, and dividend commentary, I'd like to highlight KREF's achievements during 2023. We have focused our efforts on maintaining high levels of liquidity, fortifying our liability structure, and proactively managing our portfolio, all of which has been critical to KREF's ability to navigate this challenging market. To be specific, we have built and maintained a market-leading liquidity position with the help of KKR Capital Markets, with current cash on hand and undrawn corporate revolver capacity of nearly $600 million. Our financing continues to be best in class, which we further optimized by upsizing a repurchase agreement by $160 million, and extending the term. KREF has no corporate debt or final facility maturities for two years. 76% of our secured financing as of year-end was completely non mark-to-market. And the remaining 24% is only mark-to-credit. We received $767 million of repayments, with office loans representing approximately 25% of total repayments. Our unfunded commitments as a percentage of the portfolio are 10% at year-end 2023, down from 16% at year-end 2022. More than half of our portfolio is supported by multifamily and industrial properties. Multifamily remains our largest property type representing approximately 41% of the portfolio. And we continue to see stable underlying performance across that segment with weighted average rent increases of 3.9% year-over-year in our portfolio. Office represents our second largest property type, and since the beginning of last year has decreased as a percent of the portfolio, from 26% to 22% today, including a full payoff last month of a $173 million previously risk-rated 4 loan secured by a Washington, D.C. property. Access to KKR's broader real estate platform with approximately 150 dedicated professionals and over $68 billion of assets under management has been instrumental in the management of KREF's portfolio. Our capabilities have been further bolstered by our affiliated rated special servicer K-Star, with a team of more than 45 professionals and over $45 billion of special servicing rights, providing us with extensive expertise and access to sizable, real-time market information. We have been actively using many tools at our disposal to execute on a variety of workout options, including modifications, restructurings, as well as taking title and managing real estate. Since our last fall, the Federal Reserve has indicated an end to their interest rate hikes, with potential rate cuts beginning in the first-half of the year. Market sentiment has improved dramatically as some of the tail-risks driven by inflation and higher interest rates have subsided. The broader rally in equities and fixed income is impacting the commercial real estate equity of debt markets as well, with significant heightening in CMBS and loan spreads over the past few months. The fear/greed factor has clearly shifted, and capital is flowing into the markets. We expect acquisition and refinance activity to increase this year, and we are seeing that in our own lending pipeline across our different capital sources. However, despite the strong momentum, challenging remain given the value declines from the post-COVID interest rate environment. Today's higher interest rates and carrying costs combined with interest rate cap costs and near-term maturity dates continue to stress real estate capital structures. And now, I'll discuss KREF's earnings power and dividend philosophy as we get into 2024. Last year, KREF's earnings potential benefited from the higher interest rate environment, with average run rate distributable earnings before losses of $0.48 per quarter throughout 2023. We stated last quarter that as we determine the run rate earnings potential of the business into 2024, the main drivers will be interest rates, portfolio performance and the ability to unlock equity held in our risk rated five assets. We have been proactive and transparent as we work through this market. And we have implemented a variety of strategies to optimize the outcome of our watch list loans. Today, we have a few assets where the best path forward to maximize value will be to take title, operate the real estate and stabilize cash flows before selling. Each has different circumstances, but this is high quality real estate that we have full confidence will lease and stabilize over time. To put it simply, we have great real estate, we have ample liquidity and we have the resources and expertise to create value. Once stabilized, we believe we can sell the real estate at a higher value than our current mark. We cycle that capital into cash flowing assets and return to a more normal level of operating earnings. However, getting to stabilization will require time and impact earnings in the interim. To that end, the Board of Directors declared a dividend of $0.25 per share for the first quarter. The dividend is set at a level where we can cover with distributable earnings ex-losses with our performing loan portfolio under a number of different scenarios, including lower interest rates and the potential migration of loans to cost recovery and REO. To be clear, in the near-term, we expect DE ex-losses to be significantly higher than our dividend. Similar to how we've operated in the past, we are taking a proactive approach and making this adjustment now as opposed to waiting for a typical March declaration date in order to provide transparency. Importantly, as we sell our REO portfolio, we can reinvest the capital into new loan assets to unlock additional earnings potential. To put some context around this, we believe we can generate an additional $0.12 per share and distributable earnings per quarter and this is just on our existing basis. Of course, the goal is to gain more than that over time. The assets driving this impact include our Portland Retail and Redevelopment Property, our Philadelphia REO, Mountain View projected REO and potentially the Seattle Life Science Loans which combined represent approximately $150 million of equity. Continuing with our transparent reporting, we've added a new page in our earnings presentation highlighting these assets. With that, I'll turn the call over to Patrick.
Patrick Mattson: Thank you, Matt. Good morning, everyone. I'll begin with updates to our CECL allowance and watch list. We finished the quarter with $213 million in CECL reserves, over two-thirds of which is held against the three, 5 rated loans. Reserves decreased by $9 million quarter-over-quarter primarily as a result of a few changes in Q4. First, upon taking title to the five-rated Philadelphia office asset we realized a $59 million loss, which is lower than the $69 million asset specific CECL reserve in the prior quarter. The CECL amount was reversed and realized loss flowed through our distributable earnings in Q4. Looking ahead, we are in discussions to sell two of the four properties in the near-term and do not expect any impact to DE as a result of the sale. Second, we increased reserves on our loans secured by the Class A office campus in Mountain View, California, reflecting a lower valuation given the continued slow leasing environment in Silicon Valley and the lower levels of liquidity. We expect to take title to the asset in the second quarter. Third we downgraded the risk rating and increased reserves on a loan backed via Class A Seattle Life Sciences property. This property was built in 2021 and our sponsors purchased and converted the asset to life science lab use for spec lease up. As Matt mentioned, our multifamily portfolio has generally been stable, with low single-digit rental increases supporting NOI growth. Most sponsors have renewed interest rate caps and maturities. However, we downgraded two multifamily loans to risk ratings of 4 in the quarter given ongoing discussions regarding interest rate caps. Both properties are over 90% occupied, and the loans are current on interest payments. As we continue to work through our watchlist portfolio we saw positive outcomes on two of our watches in D.C. office loans that had been on the watchlist last quarter. First, in January, the $173 million Washington, D.C. office loan paid off in full as the sponsor completed a refinance with a new lender. This recently renovated and well-located Class A office asset had leased up to nearly 90% following the completion of the sponsor's CapEx plan. Our other watchlist Washington, D.C. office loan is now risk rated 3 following a modification finalized in the fourth quarter which included a $20 million principal paydown. The Class A property is 92% leased after positive momentum throughout last year. With these positive outcomes, we have only one remaining risk rated 4 office loan. With current asset exposure in the form of a $37.5 million mezzanine loan secured by a Class A property located in Boston. Post quarter-end, we entered into discussions with the sponsor and have begun modification negotiations which may result in increased CECL reserves. We expect to provide a further update on the status of the modification next quarter. In the past 13 months, KREF has received over $1 billion of repayments, including two full repayments totaling approximately $325 million we received in January. Both loans were previously risk rated 4, including the D.C. office loan previously mentioned, and the New York City condo loan. The weighted average risk rating on the portfolio remain 3.2, and 87% of our portfolio is risk rated 3 or better. KREF has built a diversified liability structure with $8.9 billion of financing capacity, and $2.8 billion of undrawn capacity. Our non-mark-to-market capacity remained substantial at 76%, and is diversified across two CER CLOs and a number of matched term lending agreements and asset-specific financing structures, as well as our corporate revolver. Excluding matched term secured financing, there were no corporate debt or final facility maturities until 2026. KREF is well-capitalized, with $136 million of cash, and $450 million of corporate revolver capacity available as of year-end, our best-in-class non-mark-to-market, and high levels of liquidity coupled with our deep relationships with both our financing partners and borrowers positions KREF strongly for this dynamic credit and interest rate environment. Thank you for joining us today. Now, we're happy to take your questions.
Operator: We will now begin our question-and-answer session. [Operator Instructions] And the first question will be from Sarah Barcomb from BTIG. Please go ahead.
Sarah Barcomb: Hey, good morning, everyone. So, I think a good place to start would be with this dividend cut, obviously a big reset here. You mentioned in your prepared remarks that it was mostly the earnings drag from REO assets and non-performing loans that really drove this decision to cut. I'm also wondering how much of the dividend cut can be attributed to the near-term risk of multifamily loan maturities that are coming up this year? We saw a couple multifamily assets come on the watchlist [this print] (ph). You spoke to those dynamics in your prepared remarks, but we've talked a lot about this risk in recent quarters, these 2021 vintage loans still have SOFR capped well below today's levels, and a significant portion of those caps should come off this year. So, when you were thinking about this dividend reset, how much did that dynamic come into play just thinking about multifamily debt service coverage and maybe the risk seeing more sponsors push back on re-upping that rate cap, was hoping you could speak to that a little bit?
Matt Salem: Hi, Sarah, it's Matt, and happy to take it, and thank you for the question. I guess when we think about the multifamily portfolio, I don't think our view has changed that much from what we saw or what we spoke about last quarter. As you highlight, obviously leverage has come up in those loans just given the change in cap rates and interest rate environment. Keep in mind, our portfolio is almost all Class A multis, so this is pretty high quality real estate. We've got -- I think we've always been pretty transparent in terms of just how we're identifying our risk ratings and those particular loans that you mentioned that moved into the 4-rated bucket this quarter were obviously in modification discussions, but loans are current. So, we're going to see where we ultimately end up there. But it comes back, I think, to our high-level view, which is there's going to be probably noise in the multifamily sector just given that change in value. But it really comes back to value at the end of the day. And whereas we think about projecting what's going to happen in our multifamily portfolio, we're not expecting a lot of losses at all. I think there's a -- in most cases we'll be able to work with our borrowers. Where you're seeing the most stress is in borrowers that have a little bit less liquidity, and so that interest rate cap becomes more problematic. The one thing I would highlight as well in the multifamily sector is the amount of liquidity there is tremendous. And when you think about the macro environment, where we are today, with a better understanding of interest rates, inflation, et cetera, we've seen a pretty strong demand for multifamily assets as we look across SOFR equity and our credit business. So, a longwinded answer to your question, but we're not really anticipating that much trouble within the multifamily portfolio, but there'll be a little bit of noise here and there.
Sarah Barcomb: Okay, thanks for the color there. And then my follow-up is more office life science related. We were happy to see the good news updates on those two D.C. offices. And from a headline basis, there was no strictly office watchlist migrations. We did however see that Seattle life science go straight from a risk 3 to a risk 5. So, was hoping you could speak a bit more as to how we should be thinking about the rest of your life science exposure, especially for properties that were potentially originally purposed for more traditional office use and then pivoted to the life science format, like we saw with the Seattle asset, just hoping you can speak to the rest of the life science portfolio and how we should be thinking about those properties as offices or as leasable life science? And that's it from me.
Matt Salem: Sure, happy to do it. A couple things I just want to highlight, and maybe this is the best place to address it. We have a lot going on in the portfolio this quarter, but if you take a step back and you think about our management team, our posture in the market, and from where we're sitting, it feels like we're getting through most of the major issues, right? We've dealt with -- we've modified loans, we've restructured loans, we're going to go to title on a couple of these assets. These bigger office -- bigger for the office portfolio, where we felt like we would have issues, like we're largely through that. We've got one more 4-rated office loan, that Patrick highlighted on his comments, that we're in negotiations on with a modification, and that will likely lead to some increase in reserves. But as we've talked about in the past, the rest of the office portfolio, we still feel good that we don't see any near-term intermediate-term migration of that portfolio into higher risk ratings. So, we've come a log way, and the market's come a long way. This time last year, we didn't know where inflation was going to be, we didn't know when the Fed was going to stop hiking, in fact we had like four more hikes ahead of us. And now, clearly, we're in a much different environment and we're debating how many and when interest rate cuts are going to start. So, the market has changed a lot. We've worked through our portfolio a lot. And overall, we feel like we're in a much better position today than a year ago with all that uncertainty. As it relates to life science, we break it down into a couple of different buckets within our own portfolio. But a little less than half of our portfolio is basically construction. So, it's purpose-built, very well-located, trophy-like real estate within the life science sector. We feel very good about that component of the portfolio for those reasons. We do have some that was more of a conversion from office, traditional office, to life science. Those have been converted at this point in time, so don't think about those as traditional office. Those are ready for lab leasing, including our Seattle transaction or property. And a big subset of those, have leasing in place, and I think one of the reasons we saw the jump in the risk rating in the Seattle life science, it's a big business plan, right? There's a big lease up ahead of us there. And when you add that together with the time that takes and the cost of carry in the market, it just gets really expensive for the existing sponsor. So, we'll continue negotiating that with our existing sponsor there. We don't know exactly which way that's going to go yet. Obviously, we reference it as a potential REO, but we could get to a modification there as well. We'll see how that discussion plays out. And that's a little bit how we're thinking about the overall life science portfolio. So, by the way, still a sector we like a lot. We think obviously we've had a little bit of cyclicality as it relates to the equity markets but with where we are today and liquidity returning to the sector, I think we still feel very good about the intermediate and long-term prospects of the life science business.
Sarah Barcomb: Great. Thank you.
Operator: And the next question is from Don Fandetti from Wells Fargo. Please go ahead.
Don Fandetti: Can you talk a little bit more about the sort of difference between your expectations for DE and the $0.25 quarterly dividend? And sounds like you ran some scenarios. What would it take to put you at that tougher end of that scenario where DE gets closer to the $0.25?
Matt Salem: Yes, Don, it's Matt again. I can take that question. I think the two big factors that could drive that lower, which is probably obvious, but portfolio performance. So, if we saw continued negative migration in the portfolio, non-performing loans, REO, et cetera, beyond anything that we're seeing today, obviously we're incorporating our current views of, for instance, the Boston office four-rated loan. Of course, that's incorporated in what we're projecting currently, but if it goes beyond kind of our current expectations, that could impact DE and bring that number closer down to that dividend level. And then, just interest rate cuts, right? We can all look at the forward curve. We're running a number of scenarios beyond that. But if we got into some type of like major cutting by the Fed, that will put pressure on the portfolio as well. But we're trying to look out a fair amount of quarters here to make sure that we've got some headroom and gives us time, right? We want to have patience. We want to protect book value to work out these REO assets. I think it's what our shareholders really want us to do is use our expertise and as part of a bigger KKR ecosystem. And so, we are trying to buy a fair amount of time to be able to effectuate those business plans.
Don Fandetti: Got it. And then, the comments on office are interesting. It sounds like you're not expecting any intermediate-term migration on the risk ratings other than the 1-4 rated. What kind of gives you that confidence, just given it seems like there's still a lot of stress in the office, plus you have rate caps and other dynamics?
Matt Salem: Yes. I think what gives us the confidence, and we've highlighted this on other calls, is when you look at the three rated loans in the portfolio, they have very long lease terms in place, so over eight years of lease term in place. They've got a very high debt yield, and we think at a relatively reasonable leverage, equating to a relatively reasonable leverage point. So, that's obviously the entire portfolio that's in that three. A number of those we've clearly already modified, written off, restructured with our sponsors. We've been proactive about that. But it really just comes down to the durability of those cash flows that we're seeing and how much debt yield and leverage we think is in that. And I think we've got a good idea of where the office market is. Obviously, we've worked through a number of loans within the KREF portfolio. We just got refied out on a D.C. office loan, so we know where there's liquidity, and we're using all that to obviously make those statements around and what we see in the rest of the three-rated office loans.
Don Fandetti: Okay. Thanks.
Operator: And the next question will be from Stephen Laws from Raymond James. Please go ahead.
Stephen Laws: Hi, thanks. Good morning. Matt, to follow-up on Sarah's question around Seattle, can you talk a little bit about how that discussion may play out, the timing, is it something we'll hear about next quarter, whether it's modified or REO'd, or is that something that lasts longer than that, kind of how that process will play out?
Matt Salem: Yes, Stephen. Thank you for the question. It is always hard to handicap the timing around these discussions. I think this one will go faster, so we should be able to get - I hope for sure we'd have an update. We certainly will have an update, but potentially more of an idea of what the resolution looks like by our next call. You know, these discussions are -- we're pretty deep in them right now, so we should be able to give a more fulsome update at that point in time.
Stephen Laws: Okay. And then, I think multi was covered. So, a quick one on the Mountain View, California; Patrick, I think you said it's probably a 2Q event. You know, is the specific reserve that will run through DE that we should think about, the difference in the loan principal balance versus the slide that shows the projected REO, or are there things where it's not necessarily exactly that difference that will run through as a realized loss?
Patrick Mattson: No, Stephen, that's a good question, and that's correct. Yes, page 13 of the supplemental where we highlight the REO schedule, we've got the carrying value. So, that gives you a good roadmap for what we expect to happen there in the second quarter.
Stephen Laws: Great. Matt, bigger picture, what -- I guess sort of shifting gears, but what are you looking for to go back on offense, right? I know you look at a lot of investment pipeline across the KKR platform. It seems like you feel like you've got a good handle of proactively addressing your concerns and commentary a second ago leads me to think you have comfort in your current three-rated loans. Do you expect to do some new originations, especially given the repayments in January? Are new originations a Q2 event? Is it something that's going to be later this year, or is it not until 2025? Kind of how do you think about turning back to offense given where you are with your existing portfolio and your current liquidity?
Matt Salem: Yes. Thank you, Stephen. I would say a couple things. Let's step away from KREF for a second and think about the broader KKR real estate credit business. We'll expect to win somewhere in the magnitude of $8 billion to $10 billion this year away from KREF. So, we've got an active lending business across a variety of different kind of risk-reward strategies, bank, insurance, and debt fund capital. We're seeing a very large return in transaction volumes, both acquisitions and refinance. As I mentioned, obviously, the macro has cleared up a fair amount and the market is getting its sea legs again. And values have come down a lot. So, you see equity investors in real estate trying to put money to work, and it's still a very good lending market just given the elevated rates and the lower basis you can lend on today. So, overall, we do like the market environment to invest today. I think from a KREF perspective, it really comes back to what we've talked about in the past, which is just seeing a healthy level of repayments in the portfolio. I don't think we want to increase our leverage profile right now. There's still uncertainty. And so, as we start to get more repayments, I think that's really where we'll look to redeploy. You're right. We saw a fair amount of repayments this quarter and repayments in sectors that obviously have a little bit less liquidity like office. So, if we see that continue in the portfolio, I think that's really where we'll think about turning it back on. Hard to predict and project when that happens, but I think it's more of a back half of the year for us, if I had to guess today, but we'll continue to monitor that.
Stephen Laws: Great. And then, one last quick one, if I may, to Don's question, you talked about dividend and kind of what would push the EBITDA level you mentioned kind of I believe aggressive studies and just given the impact of a floating rate portfolio, any considerations of buying your own weight floors at some level to take that tail risk off the table?
Matt Salem: I mean, it's something we've looked at over time at different moments in time. Right now, it doesn't feel like the best use of capital, but it's something we can continue to watch.
Stephen Laws: Great, appreciate the comments this morning. Thank you.
Operator: [Operator Instructions] The next question is from Jade Rahmani from KBW. Please go ahead.
Jade Rahmani: Thank you very much and thanks for all the color in the presentation. Just a basic question, when we think of interest income, what percentage of the interest that KREF receives is funded out of existing reserves versus property cash flows and is there perhaps a third source that I haven't thought of and thinking about that?
Matt Salem: Hi, Jade, it's Matt. Thanks for the question today. It's not a number I have in front of me right now. We can take a deeper look and look at that. I mean, if you think about most of the largest asset type and the second largest asset type in multifamily and office, most of those are leased assets or in some high level of occupancy. So, I would think that the majority of the portfolio is going to be of the income coming up into the portfolio I suppose is coming from actual property cash flows. There is obviously some business plans that are in construction or in lease up and that's really where the reserves are going to factor in, in those the big amount of reserves are going to factor in, but don't have the exact number in front of me.
Jade Rahmani: The follow-up would just be what you think the true drivers of default will be in this market? You mentioned in multifamily, you don't expect much pressure. It sounds like there'll be modifications, discussions around interest rate caps, but you don't expect much default there. So, what at its core do you think is the driver of default? I know in a lot of cases for the mortgage REITs, much of the interest is in fact funded out of interest reserves, which is similar to construction loans?
Matt Salem: Right. So, I think, I guess a couple of things. Let's just state the obvious. Big secular change and value change in office. So, I think that's despite cash flow in some cases like there's clearly a very big deterioration there. So, that will be on its own and we're all seeing that, we know that. The other places I think you could see it is in just these bigger lease up plans. I think the Seattle Life Sciences is a good example of that where you are in the right sector, we are in a good property, leasing has slowed down, the business plan is very expensive to implement from our existing sponsors' perspective and that obviously is creating an issue in discussions with that loan. So, you will see that in other places, I think as well. On the multifamily side, I speak from our own portfolio, which again tends to be very high quality real estate. There's a lot of liquidity there I think across the board. But certainly, you could see some noise in the multifamily sector, especially if you have sponsors implementing like deep value add business plans, heavy renovations that take a long time and then you are trying to kind of re-lease it, because those are again they are just deeper, longer time periods that you are really exposed to the cost of capital in the market today. So, I'd highlight a few of those things.
Jade Rahmani: Okay. Thanks. And then, just going through the portfolio details, when I look life science specifically and I compare committed principal to current principal, many of the loans there's a substantial difference, which means there's a lot of future funding, which means these are not leased assets, these are development deals and there is very weak leasing in life science. I know you said long-term you're bullish, how do you think about the outlook for those assets? Are we going to see further non-performance beyond the Seattle asset?
Matt Salem: Well, it's not our expectation at this point in time. I think that when we look at those, one, they are in very strong locations. We're in on those construction deals, we're in Cambridge, we're in Seaport, in Boston, and we're in South San Francisco, so these are very, very strong locations for Life Science, the two biggest hubs in the United States and they are purpose built and I think there's going to be a fair amount of demand for that high quality real estate. So, it's not our expectation at this point in time, but you are right to highlight that there is a lease up component involved here. It's just the quality of the real estate and the location. We think and our basis obviously, but we think we'll overcome potential issues there, but there's some uncertainty.
Jade Rahmani: And lastly just on the Seattle, since that was originated in October of '21, you said it was converted from traditional office to life science, so that probably took some time, but still it's a three-year loan and also surprised you it went from a three to a five in just one quarter. What do you think a reasonable timeline is to consider stabilizing and optimizing that asset?
Matt Salem: Well, we're doing the work on that now in terms of just really understanding the lease up of that asset. But Seattle in particular is a little bit smaller Life Science market, so that one will take is going to take a little bit of time, but it could take anywhere from 18 plus 24 months plus to fully stabilize that asset from a leasing perspective.
Jade Rahmani: Thanks very much.
Operator: And the next question is from Rick Shane from JPMorgan. Please go ahead.
Rick Shane: Thanks guys for taking my questions this morning. And I apologize we're bouncing around a little bit. So, if some of this has been covered, I apologize. Can you talk a little bit about the ability to redeploy capital as you realize losses and removing loans from non-accrual and any potential impact on NII going forward?
Matt Salem: Sure. I could take that. It's Matt. I think in the prepared remarks, we tried to give some context around this. I think the timing component is the difficult one, right, we want to make sure that we really optimize the value of the REO portfolio. And that's really the way we're thinking about it is, that's the portion of the portfolio that is not creating earnings, there is actually a drag around that from OpEx and something we have against those assets. As we stated in the script, if you just repatriate our basis in those assets, we think that can generate an additional $0.12 of DE per quarter. Now the question is how much time it takes to get there and that goes back to our comment where we're going to have to be patient a little bit to Jade's last remarks, some of these will take a little bit of time to get through. But as we sell those assets, stabilize them, sell them in the market, we should be able to and of course it could happen at different times for each asset. We should be able to repatriate that equity and then invest it in new loans and start to get some of that $0.12 back, the $0.12 per quarter is based again on our basis, not on where we hope and the goal is to sell these assets. Obviously, we think we're going to make more over time is why we're going to implement this business plan. So, this gives you a little bit of context of where we could go. But it's not we're not thinking about this as like the next quarter or two, like we are trying to make sure that we have the runway to be patient.
Rick Shane: Got it. I appreciate the color. Thanks, guys.
Matt Salem: Thank you.
Operator: And the next question is from Kaili Wang from Citi. Please go ahead.
Kaili Wang: Thank you. Maybe you could talk about as you look at the new deal opportunities coming to the market today, how are the spreads trending and what are you seeing from the competitive front in general?
Matt Salem: Yes, thank you for the question. It's Matt again. I'll take that. Again, I'll speak a little bit to our broader. The broader real estate credit platform here at KKR where we're actively lending in the market on a daily basis. I would say we, again, we have a pretty big return in transaction volumes, both acquisition and refinance needs. Our pipeline right now across all of our different pockets of capital is up over 50% from last year. Still down from, call it the peak 21 type of levels, but has picked up a lot over the course of the last, call it couple months, as you saw the Fed pivot. And where we're seeing the most competition, I would say, is on real stabilized assets and the insurance capital and the agencies, Freddie Mac, and Fannie Mae. I think that's really where you've seen the most aggressive from a spread perspective, from a spread of yield. As you look at what's going on with investment-grade corporates, you look at what's going on with CMBS, there's spread tightening happening across most of fixed income. And that's happening in the loan market as well. So, if, like, stabilized lending, what used to be low 200s type of spread is now gravitating into the 100s. We've seen insurance companies go as tight as 150 base points over at this point. So, it is -- there's clearly a lot of demand for lending in today's market. I think the big question, as we all know, is the banking market. They are roughly 40% of the overall commercial real estate lending market. We've seen a little bit more bank activity, but it's still largely on the sidelines. And as we start to pick up volumes this year, that's the big question is, will there be a gap in the need for financing? Of course, there'll be some alternative lenders like ourselves that can step in and fill that gap. But I think that will -- this year we'll figure out a little bit of how much the banking system is really going to come back online. One good news for KREF, I'd say, is that what we are seeing from especially the larger banks is a willingness to lend on loan-on-loan facilities, warehouse facilities, much more. There's been a little bit of a shift away from direct lending, mortgage origination, into more facility type of lending. It's better capital. It's safer. And so, that will be in my mind one of the big changes as we come out of this market environment is as the banks reduce their footprint in the direct mortgage origination business they'll likely increase their footprint in the loan on loan and warehouse side of things.
Kaili Wang: Great. Thanks for the comment.
Matt Salem: Thank you.
Operator: And ladies and gentlemen, this concludes our question and answer session. I would like to turn the conference back over to Jack Switala for any closing remarks.
Jack Switala: Well, great. Thanks, Operator, and thanks, everyone, for joining today. You can reach out to me or the team here if you have any questions. Thanks and take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.